Operator: Good morning ladies and gentlemen, and welcome to the Gran Tierra Energy’s results conference call for three months ended March 31, 2010. My name is Alicia and I’ll be your coordinator for today. (Operator Instructions) I would like to remind everyone that this conference call is being webcast and recorded today Wednesday, May 12, 2010 at 10:00 a.m. Eastern Standard Time. Please be advised that in addition to historical information, certain comments made during this conference call, particularly those anticipating future financial performance, business prospects and overall operating strategies constitute forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Such statements may be identified by words such as anticipate, believe, estimate, expect, intend, predict and hope or similar expressions. Such statements which include estimated or forward-looking predictions and financial information or results are based on management’s current expectations and subject to a number of factors and uncertainties which could cause actual results to differ materially from those described in the forward-looking statements. Listeners are urged to carefully review and consider the various disclosures made by Gran Tierra Energy in its reports filed with the Securities and Exchange Commission, including those risks set forth in Gran Tierra Energy’s quarterly report on Form 10-Q filed with the SEC on May 7, 2010, and in its annual report on Form 10-K for the year ended December 31, 2009, filed with the Securities and Exchange Commission on February 26, 2010. If one or more of these risks or uncertainties materialize, or if the underlying assumptions provide incorrect, Gran Tierra Energy’s actual results may differ materially from those expected or projected. Listeners are urged not to place undue reliance on forward-looking statements made in today’s conference call. Gran Tierra Energy assumes no obligation to update these forward-looking statements other than may be required by applicable law or regulation. Today’s conference call also includes non-GAAP measure, funds flow from operations. The press release disseminated by Gran Tierra Energy last night includes a reconciliation of the non-GAAP items with the company’s GAAP income or loss, as well as information about why management believes this measure is useful in evaluating the company’s performance and is available on Gran Tierra’s website, www.grantierra.com. All dollar amounts mentioned in today’s conference call are in U.S. dollars unless otherwise stated. Finally, this conference call is the property of Gran Tierra Energy, Incorporated and copying or rebroadcasting of this call is expressly forbidden without the written consent of Gran Tierra Energy. I will now turn the conference over to Dana Coffield, President and Chief Executive Officer of Gran Tierra Energy. Mr. Coffield, please go ahead.
Dana Coffield: Great. Thank you. Good morning and thank you for joining us for Gran Tierra Energy’s first quarter 2010 results conference call. With me today is Martin Eden, our Chief Financial Officer; and Shane O’Leary, our Chief Operating Officer. On Monday, May 10, 2010 we disseminated a press release that included detailed financial information about the quarter. In addition, Gran Tierra Energy’s 2010 report on Form 10-Q for the three months ending March 31, 2010 has been filed on Edgar and is available on our website at www.grantierra.com. I’m going to begin today by talking about some of the key developments for the quarter. Martin will then take a few minutes to discuss key aspects of this quarter’s financial results. Shane will provide an operational overview and I will return to provide an outlook followed by closing remarks. Gran Tierra Energy attained another record daily average oil sales in the first quarter, averaging 14,908 barrels of oil per day net after royalty, comprised of 14,062 barrels of oil per day in Colombia and 846 barrels of oil per day in Argentina. This is a 43% increase compared to the same quarter in 2009 and an increase from fourth quarter 2009 production of 14,714 barrels of oil per day. Funds flow from operations of $54.3 million contributed to a cash and cash equivalents balance of $265.7 million at the end of the first quarter. Gran Tierra Energy remains debt free. Operationally, Gran Tierra Energy continued preparations for the 2010 work program. In Colombia we completed site construction for Moqueta-1, the first well in an extensive Putumayo Basin exploration program. This well is scheduled to spud in approximately one week. In Argentina, the work was focused on permitting and initiating road improvements and location construction for the re-entry and sidetrack of the Valle Morado discovery well. This drilling is expected to take place in the third quarter of this year. In Peru, after the successful completion of field work from both the social and environmental impact assessments for Blocks 122 and 128, we have received an Environmental Impact Assessment approval for seismic and drilling for Block 128. We are currently reviewing certain required amendments before commencing operations. Approval for Block 122 remains in the approval process. Gran Tierra Energy continues to view Brazil as an exciting growth opportunity and we continue our business development effort in this region. Deal flow has been somewhat restrained due to delays in new bid rounds pending new legislation governing pre-salt areas. However, we are currently reviewing several opportunities and hope to add assets in Brazil in 2010. Overall it was another strong quarter financially and operationally, as Gran Tierra Energy successfully grew production and undertook a variety of tentacle and commercial initiatives to position the company to execute its exciting exploration program in 2010. Let me now turn the call over to Martin Eden to discuss the financial results. Martin?
Martin Eden: Thanks Dana and good morning everybody. Financially the first quarter of 2010 was a very strong quarter for Gran Tierra Energy. Revenue and interest income for the first quarter 2010 was $93.1 million, a 177% increase from 2009. This is primarily due to an increase of 43% in crude oil production in addition to an increase in crude oil prices. The average price received per barrel of oil increased by 96% to $69.20 for the three months ended March 31, 2010, from $35.27 per barrel in the same period in 2009. Operating expenses for the first quarter of 2010 amounted to $10.2 million, a 44% increase from the same period in 2009, due to expanded operations and increased production levels in Colombia. For the three months ended March 31, 2010, operating expenses on a barrel of oil equivalent basis was $7.57, a slight increase over the same period in 2009. General and administrative expenses of $7.2 million for the three months ended March 31, 2010, were 40% higher than the same period in 2009 due to increased employee related costs, reflecting the expanded operations in Colombia. However, due to higher production in 2010, G&A expenses on a per barrel of oil equivalent basis decreased 2% to $5.34 for the current quarter compared to $5.43 for the first quarter of 2009. Depletion, depreciation and accretion expense for the current quarter increased to $40.3 million compared to $27.5 million for the same quarter in 2009. On a BOE basis, DD&A for the three months ended March 31, 2010, was $29.99 compared to $29.19 for the same period in 2009. Included in the first quarter 2010 results is a foreign exchange loss of $14.3 million, of which $12.7 million is an unrealized, non-cash foreign exchange loss resulting primarily from the translation of a deferred tax liability recorded on the purchase of Solana. The results for the same quarter in 2009 included a foreign exchange gain of $20.2 million, which includes an $18.3 million unrealized foreign exchange gain arising primarily from translation of the same deferred tax liability. The deferred tax liability is denominated in Colombian pesos and the devaluation of 6% in the U.S. dollar against the Colombian peso in the current quarter resulted in the foreign exchange loss. This compares to a 14% appreciation in the U.S. dollar against the Colombian peso for the three months ended March 31, 2009, which resulted in the foreign exchange gain we recorded in that period. The net impact resulted in net impact of $10 million in the first quarter of 2010, compared with a net income of $14.1 million in the 2009 quarter. Funds flow from operations in the first quarter was $54.3 million compared to $20.6 million in the same quarter in 2009, reflecting the significant increase in crude oil production and increase in oil prices. Funds flow from operations is a non-GAAP measure based on GAAP net income or loss, adjusted for depletion, depreciation and accretion; deferred taxes; stock-based compensation; unrealized gain or loss on financial instruments; and unrealized foreign exchange gains or losses. A reconciliation to net income is included in our first quarter 2010 earnings press release and also in our 10-Q. Our cash and cash equivalents were $265.7 million at March 31, 2010, compared to $270.8 million at December 31, 2009. Our cash and cash equivalents decreased by $5.1 million due to changes in working capital at $58.1 million and cash outflows for investing activities at $25.7 million, which more than offset funds flow from operations of $54.3 million and funds from financing activities of $18.2 million. Working capital, including cash and cash equivalents, increased to $267 million at March 31, 2010, as compared to $215.2 million at December 31, 2009. The cash receivable normally includes two months of Colombian oil sales, except at year end when there is traditionally less than one month of oil sales in receivables as our Colombian purchaser, Ecopetrol, settles all the other outstanding amounts. Gran Tierra Energy continues to be debt free. In summary, our Gran Tierra Energy remains financially strong with the expectation that our 2010 exploration and development capital program of $195 million will be fully funded with internally generated cash flow at current oil prices and production levels. That concludes my comments. I would now like to turn the call over to Shane for an update on Gran Tierra Energy’s 2010 capital plan and outlook.
Shane O’Leary: Thank you Martin. Gran Tierra Energy continues work on the largest capital program in the company’s history. Our Colombian program includes drilling approximately seven exploration wells in the Putumayo Basin, along with seismic acquisition programs on six Blocks in preparation for exploration drilling in 2010 and 2011. Moqueta-1 is the first well of our 2010 exploration program and has a mid-May expected spud date. Drilling will take approximately 20 days. We anticipate using the same rig to drill the Taruka exploration well in the Piedemonte Sur Block, which is the second well in the 2010 Colombian exploration program. We also intend to spend $47 million in Colombia on development activities. We have already commenced drilling of the Costayaco-11 water injector, and continue with constructing storage batteries and Costayaco electrification and field support facilities. Seismic acquisition continues in the Rumiyaco and Azar blocks, and will expand to the Chaza, Guyuyaco, Piedemonte Norte and Piedemonte Sur blocks in 2010, in preparation for 2010 and ‘11 exploration drilling. In Argentina, the re-entry and sidetrack of the Valle Morado discovery well has been moved forward and is now scheduled to commence in early Q3 2010. Short term gas sales that were originally planned for Valle Morado have been deferred with the accelerated drilling schedule. This well previously produced at rates up to 25 million standard cubic feet per day and was shut in in 2000 due to water breakthrough. We believe we have identified the source of the water, and we’ll attempt to isolate the zones and drill a sidetrack well targeting closer to the center of the structure. Also, Gran Tierra Energy has received Gas Plus approval from the Argentina Secretary of Energy, which enables the company to negotiate Valle Morado gas sales directly with industrial users. Recent gas sale contracts in the country have been in the range of $4 to $5 per MMBtu. In Peru, the Environmental Impact Assessment has been approved for Block 128, with approval for Block 122 pending. We plan to start the 480 kilometer of 2D seismic acquisition in the second quarter, and have budgeted to drill up to four exploration wells on four prospects, two on each block. I’ll now hand it over to Dana for an outlook and concluding remarks.
Dana Coffield: Thank you Shane. For full year 2010 we continue to expect production to average between 14,000 and 16,000 barrels of oil per day net after royalty. This includes approximately 13,000 and 15,000 barrels of oil per day from Colombia, and approximately 800 to 1,000 barrels of oil equivalent per day in Argentina. Our first 2010 exploration well in Colombia, Moqueta-1, is expected to spud in mid May. This will be the first of approximately seven exploration wells budgeted for the Putumayo Basin this year. We’ve also commenced drilling in the Costayaco-11 water ejector well to provide both water disposal capability and provide pressure support in the T-Sandstone and the Costayaco field. At this time we do not foresee any additional drilling in Costayaco in 2010. With an Environmental Impact Assessment approval for Block 128 in the Maranon Basin received, seismic crew mobilization is planned for the second quarter. Drilling should commence in early third quarter and continue through the fourth quarter. In Argentina, the Gas Plus certification for the Valle Morado field enables Gran Tierra Energy to sell directly to industrial users. With drilling to commence on the Valle Morado sidetrack well in early third quarter, and testing to follow in fourth quarter, this provides an exciting opportunity to potentially capitalize on stronger natural gas pricing in Argentina. With continued proximate and commodity price strength, we anticipate fully funding Gran Tierra Energy’s 2010 capital budget of $195 million with internally generated cash flow at current production levels and oil prices. At the end of the first quarter, we had $265.7 million of cash and equivalents. We continue to evaluate a number of exploration and production opportunities to deploy this capital with future drilling, but with our large land position and extensive near term drilling portfolio we can afford to be patient and selective. In conclusion, we have successfully built a solid foundation of land, reserves, production and cash flow while high grading our exploration portfolio to create additional value for all our stakeholders. We continue to explore for exciting organic growth initiatives on our existing land for this year and next, complemented by the pursuit of new venture opportunities in our current countries of operations and in Brazil. Our prudent approach to financial management, coupled with our experience in finding and developing new oil fields, has served shareholders well so far and we intend to continue this success into the future. We look forward to communicating our progress as we proceed through the coming years. Now that concludes our prepared remarks for this morning. We would now be pleased to answer any questions you might have.
Operator: (Operator Instructions) Your first question comes from Alex Klein - Dundee Securities Corporation.
Alex Klein - Dundee Securities Corporation: I actually have a number of questions, so if we can start off with Peru, just wondering when you expect to spud the first well there. I know you’ve said that it’ll be third quarter, but can you give us a little more detail?
Dana Coffield: We don’t have a spud date internally, so all we can say even internally is early third quarter.
Alex Klein - Dundee Securities Corporation: And when are you looking to get EIA approval for Block 122?
Dana Coffield: Soon. We don’t have a date for that either.
Alex Klein - Dundee Securities Corporation: Just moving on to Argentina, with regard to Valle Morado well, it’s a fairly significant cost to drill this well and I’m just wondering what gas price you feel you need to make the whole project economic?
Dana Coffield: Well, the economics we’ve run show that it’s very economic at $4 and we think that’s very achievable and hope to do better than $4, but that would be a good outcome.
Shane O’Leary: Yes, one of the points on that project is the pipeline and the gas processing plant that’s already in place. It’s already been built, so there’s no infrastructure investment required or no material infrastructure investment required.
Alex Klein - Dundee Securities Corporation: And just finally in Colombia, you didn’t mention anything in your press release about the Juanambu-2 development well and my understanding was that you actually drilled that and that was successful. Can you provide some color on that please?
Dana Coffield: Yes. It was drilled. It’s successful. It’s online, currently producing around 700 barrels net, net after royalty 700 barrels a day.
Alex Klein - Dundee Securities Corporation: Any reason why you didn’t mention it in your press release?
Dana Coffield: Just one of many development wells. We don’t normally comment on production from any individual development well.
Alex Klein - Dundee Securities Corporation: You’re acquiring a bunch of seismic this year for not only drilling in 2010 but into 2011. Do you see the same kind of exploration plan in 2011, meaning a similar number of exploration wells? Or is it too early to say at this point in time?
Dana Coffield: Well, I guess it’s too early to say specifically how many wells we’ll drill next year, but conceptually it will be the same order of magnitude.
Operator: Your next question comes from Frederick Kozak - Canaccord Adams.
Frederick Kozak - Canaccord Adams: Just a couple of quick questions for you. First of all, for Costayaco-11 I’m looking at the map for the Costayaco field and your March presentation. Can you just cite the location of the 11 well for me please?
Dana Coffield: It’s just towards the northwest end of the main structure.
Frederick Kozak - Canaccord Adams: Basically just north of 4 then?
Dana Coffield: It’s slightly northwest, like at an 11 or 10 o’clock from 4.
Frederick Kozak - Canaccord Adams: Okay. So you’re still getting pressure support from number 7 then as well?
Dana Coffield: We’re not injecting water into 7. It’s not well placed for water injection.
Frederick Kozak - Canaccord Adams: And then secondly, just a quick question on Argentina. Can you just remind me what the capacity of the processing plant and the pipeline are at Valle Morado?
Dana Coffield:
 : The processing plant was designed for 30 million a day, something like 30 or 31. And the pipeline from the field has more than enough capacity to handle that. And then of course it feeds into one of the main trunk lines that runs north, south in the country and there’s plenty of capacity on that as well.
Operator: Your next question comes from Cristina Lopez - Macquarie Research Equities.
Cristina Lopez - Macquarie Research Equities: Just a quick question on the seismic 2D project in Peru. If the stress tests show no hydrocarbons, are you going to carry on with such a large 2D seismic program?
Dana Coffield: Yes. We’ll keep the program regardless.
Cristina Lopez - Macquarie Research Equities: So does that mean if these four wells aren’t successful, there is still an opportunity or you still see the possibility with seismic maybe going back and drilling some more [straw] tests?
Dana Coffield: It depends on the nature of the success or failure. If we were to find reservoir and oil shows, then there would appear to be significant potential to continue exploration. If we found no reservoirs and no oil shows, then it would be more questionable whether it’s worth doing more exploration.
Cristina Lopez - Macquarie Research Equities: And for Peru again, do you have a rig contractors currently?
Dana Coffield: We have not signed a rig contract. We’ve identified the rig contractor and we’re poised to sign the rig contract.
Cristina Lopez - Macquarie Research Equities: And would they be in place then for you to drill for that early Q3 that you’re hoping for?
Dana Coffield: Yes.
Cristina Lopez - Macquarie Research Equities: And then last question on Colombia, when you move from Moqueta-1 to Taruka how long do you expect the rig mobilization to take and for the well to be drilled as well, if you’re expecting 20 days at Moqueta?
Dana Coffield: Well we’re planning on spudding Taruka in the third quarter, so I mean it’s a helicopter again. You know it depends a lot on weather and that sort of thing. Probably three to four weeks to move.
Operator: Gentlemen, there are no further questions at this time. Please continue.
Dana Coffield: Thank you Alicia. I would once again thank everyone for joining us today. We look forward to speaking with you next quarter to update you on our progress. Have a good day everyone.